Operator: Greetings, and welcome to the Gentherm Fourth Quarter and Full Year 2025 Earnings Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. [Operator Instructions]. It's now my pleasure to turn the call over to Gregory Blanchette, Senior Director, Investor Relations. Please go ahead.
Gregory Blanchette: Thank you, and good morning, everyone, and thanks for joining us today. Gentherm's earnings results were released earlier this morning, and a copy of the release is available at gentherm.com. Additionally, a webcast replay of today's call will be available later today on the Investor Relations section of Gentherm's website. During this call, we will make forward-looking statements within the meaning of federal securities laws. These statements reflect our current views with respect to future events and financial performance, and actual results may differ materially. We undertake no obligation to update them, except as required by law. Please see Gentherm's earnings release and its SEC filings, including the latest 10-K and subsequent reports for discussions of our risk factors and other significant assumptions, risks and uncertainties underlying such forward-looking statements. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in our earnings release and investor presentation. On the call with me today are Bill Presley, President and Chief Executive Officer; and John Douyard, Chief Financial Officer. During their comments, they will be referring to a presentation deck that we've made available on the Investors section of Gentherm's website. After the prepared remarks, we'd be pleased to take your questions. Now I'd like to turn the call over to Bill.
William Presley: Thank you, Greg, and good morning, everyone. Let's begin on Slide 3. During the year, we made significant progress on our long-term strategic initiatives while executing against our 2025 financial and operational priorities. To drive strategic growth, we provided a thesis early last year on the broad applicability of our technology beyond automotive. We purposefully broke out our technologies into 4 platforms: thermal management, air moving devices, pneumatic solutions and valve systems so that our commercial team could go out and conquest business with the technology in other markets. We provided updates and wins throughout the year to validate our hypothesis and continue to believe this will drive growth going forward. Operationally, we continued our work to strategically realign our footprint, which will continue through 2026. And despite the near-term headwinds, these actions will play a significant role in our margin expansion over time. During the year, we began laying the foundation to drive improved efficiency and performance across the organization through business process standardization and the global rollout of our company operating system. We are starting to gain traction and reap benefits from stronger operational rigor. These improvements will drive better financial performance and cash generation, allowing us to deploy capital aligned with our strategic framework. To be clear, 2025 financial results are not indicative of what Gentherm can deliver as a business. We remain focused on executing our plans to grow and increase margins. As we enter 2026, we are confident that we have the right plan established to drive performance. We are executing our strategic priorities to build a more resilient Gentherm. Let's turn to Slide 4. I took this role with a strong belief that Gentherm was at an inflection point to enter its next phase of growth by scaling its core technology beyond its existing applications, and we have proven that ability in a short period of time. The team is focused on reigniting a profitable growth trajectory through both organic and inorganic opportunities. In January, we announced a key part of transforming Gentherm into a precision flow management company that serves diverse markets through our planned combination with Modine Performance Technologies, which is expected to close by the end of the year. This combination creates a $2.6 billion market leader positioned to grow to over $3.5 billion with a compelling financial profile and end market diversification. I am confident that this is the right transaction at the right time for Gentherm, and we'll talk more about the benefits later in the deck. Turning to organic. When I first joined Gentherm, I was impressed by the portability and scalability of our 4 core platforms. We saw great growth potential in scaling our existing products and technologies with new markets, new applications and nontraditional customers. We tested that thesis very quickly in 2025 and validated that Gentherm products have broad applicability. Within months, we generated a commercial funnel totaling over $300 million of lifetime revenue in markets outside of light vehicle. That funnel enabled us to successfully expand into commercial vehicles, powersports and Home & Office. Beyond just winning awards, Gentherm began supplying products in rapid time to revenue markets. During the fourth quarter, we were selected by another leading global furniture brand to supply our climate and comfort products. Our momentum in this market is accelerating. Our first discussions in this market began in the middle of 2025. We have already started manufacturing and delivering components in January, demonstrating shorter development cycles and rapid time to revenue compared to our automotive business. For our customers, these represent innovative next-generation product offerings centered on wellness, a major and growing trend across these markets. For Gentherm, we are leveraging our existing assets and core technologies to drive this incremental revenue growth with accretive margins. In Medical, we have prioritized reinvigorating our product life cycle road map. Refreshing the product portfolio remains a key focus, and we are advancing these efforts by leveraging existing automotive intellectual property to accelerate innovation, improve time to market and support sustainable growth within the segment. Earlier this month, we announced our FDA 510(k) submission for a new innovative product. The way surgeries are performed is changing. Robotic positioning, which allows the surgeon to move the patient for better access is becoming more common. Our first-of-its-kind solution, the ThermAffyx system combines conductive air-free patient warming with securement technology to help prevent both hypothermia and patient movement during procedures. Given our strong relationships and deep engineering capabilities, medical professionals came to us to help solve this unmet gap in the markets. The ThermAffyx system will begin generating revenue later this year, and we expect this product to be a key contributor that accelerates Medical's annual revenue growth into the high teens. This is the first new product on our road map, and we will continue to leverage Gentherm's core technologies to develop solutions for the medical market. These are just a few examples of how we are executing against our plans. We said we would reposition the company for growth by taking our technologies outside of light vehicle, and we provided several proof points in 2025. We are just getting started, and the combination with Modine Performance Technologies will play a key role going forward. We are taking bold, decisive actions that will position Gentherm for sustainable, profitable growth. Turning to Slide 5. I am very confident in our path to improve financial performance. Though revenue has plateaued over the last few years, we have a high level of visibility to growth accelerating, driven by strong automotive launch activity and our pursuits in adjacent medical markets. We have said before that we expect Gentherm's growth trajectory to be mid-single-digit growth over market, and our belief in that has only strengthened. On margins, we consistently shared our views on the major levers driving future margin expansion. We are investing in footprint optimization. We are launching lumbar and massage comfort solutions at improved margins, and we will be able to leverage scale as growth accelerates. Our road map to delivering improved financial performance is clear. We are now well positioned to deliver meaningful revenue growth and margin expansion. And with that, I will turn the call over to John to review some business highlights and our outlook. John?
Jonathan Douyard: Thanks, Bill. Now turning to Slide 6. Our team delivered another strong year of automotive new business awards, finishing 2025 with $2.2 billion, including $485 million in the fourth quarter. For the year, these awards were highlighted by the Ford F-Series, high-volume platforms with Mercedes-Benz and further adoption of our innovative Pulse A solution. These wins demonstrate the strength of our industry-leading technology as we defend existing business, launch innovative new products and create new market opportunities. We generated record revenue of $1.5 billion in the year, which increased 2.9% compared to prior year or 1.8% when excluding foreign currency translation. Automotive Climate and Comfort Solutions revenue increased 5.8% ex FX, which was offset by declines in other automotive products of $28 million, driven by our previously discussed planned exits. We continue to see strong growth over market as we ended 2025 with fourth quarter Climate and Comfort Solutions revenue outgrowing light vehicle production by 820 basis points, excluding FX, with strong performance globally and across product categories. Turning to profitability. We delivered $175 million of adjusted EBITDA in 2025 or 11% -- 11.7% of sales compared to 12.6% last year. The decrease was primarily driven by higher material costs, including unfavorable mix as well as expenses related to our footprint realignment, partially offset by operating leverage. We generated $117 million of operating cash flow, an increase of 7% compared to 2025. This was despite the fact that we were building inventory throughout the year to support the ongoing footprint transitions. Capital expenditures for the year were $56 million, down from $73 million in the prior year as our team did a nice job focusing on asset utilization and scrutinizing new capital expenditures. As a result of our team's efforts, we further strengthened our balance sheet and ended the year with net leverage of 0.2 turns. We continue to emphasize cash flow as a key business priority and believe we are well positioned to generate increased levels going forward. I'm confident that our increased financial rigor will drive improved results into 2026. Please turn to Slide 7 for a discussion on our guidance for 2026 and a preliminary revenue outlook for 2027. At this time, we have not factored in any impact regarding our planned combination with Modine Performance Technologies, which is expected to close by the end of 2026. We will provide better visibility on timing and impact as the year progresses. For 2026, we expect revenue to be between $1.5 billion and $1.6 billion, which is up approximately 3% at the midpoint when excluding slight year-over-year FX tailwinds. According to S&P Global Mobility's mid-February 2026 report, light vehicle production in our key markets is expected to decrease approximately 1% for the year. This positions us to grow above market by mid-single digits in the year, consistent with our long-term view. We expect the impact of strategically exited businesses to decline approximately $10 million year-over-year. On margins, we expect adjusted EBITDA for 2026 to be in the range of $175 million to $195 million, which implies a midpoint adjusted EBITDA margin of approximately 12% or 30 basis point expansion year-over-year. The ongoing footprint transitions will continue to be a profit drag, which we expect to be approximately 60 basis points for 2026. As we think about the 2026 cadence, we expect the second half revenue to be slightly stronger than the first half, driven by new program launches. On margins, we expect the first quarter will be similar to prior year with expected improvement throughout the year as the impact of contractual price downs is offset by material savings and productivity actions as the year progresses. We estimate that adjusted free cash flow will be in the range of $80 million to $100 million, assuming CapEx is in the range of $45 million to $55 million or approximately 3% of sales. This results in an adjusted free cash flow conversion rate of approximately 50%. While this marks an improvement from the last few years, we continue to believe there are opportunities to increase conversion to 60% or higher moving forward. In addition to 2026 guidance, we are also introducing a preliminary 2027 revenue outlook. Based on current visibility, we expect 2027 revenue of $1.7 billion, up approximately 10% versus the 2026 midpoint guidance. This growth is supported by strong launch activities and adjacent market pursuits. While we continue to believe that our automotive new business awards is a leading indicator of the long-term revenue of the business, we appreciate the challenge in connecting these awards to a near to midterm outlook given the lag in start of production in the varying program lives. In order to provide additional visibility to the revenue trajectory, we believe it is important to communicate revenue projections beyond the current year at this time, and we'll continue to look for other opportunities to increase transparency moving forward. Overall, we believe that the strategic actions we are taking to accelerate profitable growth and drive operating discipline provide us a clear road map for value creation as we move forward. And with that, I will hand it back to Bill for some further color on our recent announcement to combine with Modine Performance Technologies.
William Presley: Thanks, John. Moving to Slide 8. Our combination with Modine Performance Technologies accelerates the execution of our strategic framework by expanding our technologies and capabilities in thermal and precision flow management. The combined company will have an attractive financial profile with revenue of approximately $2.6 billion, pro forma synergy adjusted EBITDA of 13% and a strong balance sheet. We believe Gentherm is the ideal home for Performance Technologies and will provide it with a renewed focus to drive growth in attractive markets, including power generation, heavy-duty equipment and commercial vehicles. This is a well-run organization, has a high-performing culture and a strong industrial leadership team in place. We expect continued strong execution upon closing. The team brings a continuous improvement and lean mindset that Gentherm is excited to leverage. Now let's turn to Slide 9. As we talked about on our January call, there are significant value creation opportunities with this transaction. First, we have identified actionable near-term run rate cost synergies of approximately $25 million through efficiencies in direct materials, indirect purchasing and logistics as well as supported costs related to the overall company operating model. As we work closely with the team, we are looking to introduce additional cost savings initiatives that could increase the run rate over time. That said, we believe the real power of this combination is in the product and end market opportunities that are unlocked. And we have strong conviction that together, we can greatly accelerate our growth path. This is an area where I have personally spent a significant amount of time, and I want to highlight a few specific examples. First, Modine brings established commercial relationships in industries that Gentherm has not historically participated in, including commercial vehicle and heavy-duty equipment. Based on early discussions, we expect this will accelerate Gentherm's progress as we pursue these markets. Furthermore, Modine has footprint in regions like India, which Gentherm has been evaluating over the past year as an area of potential expansion. As one company, we will now be able to sell directly into these geographies without the need for incremental footprint investment. While we have high levels of confidence in those areas, the most value creation opportunities relate to product integration, particularly where Gentherm's valve technology has applicability. To be more specific, in markets such as power generation and power generation for data center specifically, Modine Performance Technologies has a leading position supporting the thermal needs of customers as they build out necessary infrastructure. As part of their solution, valves are required to regulate the flow of fluids and air through the thermal management systems of the power generation architecture, which Gentherm as a premier valves manufacturer is able to supply. In addition to supporting power generation needs, Gentherm valves are mission-critical components with applications inside the data center as well. These are tangible and sizable opportunities that we will continue to develop together post closing. Merging Gentherm and Modine Performance Technologies opens key new markets for Gentherm's product, including one experiencing significant growth. Together, our combined capabilities put us in position to capitalize on this expanding opportunity and rapidly scale our highly attractive valves business. On our January call, I highlighted that in a very short period of time, our collective team identified a commercial synergy funnel of over $100 million. It's important to note that valves made up more than half of that number given their broad applicability, mission-critical nature, close adjacency to and integration with the products that Modine Performance Technologies produces today. These are just a few examples from the initial work we have done, and we expect to significantly increase the funnel size once we close the transaction and are able to work together as one company. These product integration efforts will strengthen our ability to meet the rising demand for our combined mission-critical offerings. It is important to remember that none of these commercial opportunities were factored into our base assumptions and represent incremental upside to the transaction. Together, we can accelerate each other's growth path and margin improvement beyond what either could accomplish as a stand-alone business. We summarize the growth of Gentherm and the power of bringing these 2 companies together on Slide 10. We are charting a new course by creating a company that can grow substantially with differentiated and scalable core technologies. We see a clear path to generating $3.5 billion in revenue and more than $0.5 billion of earnings by 2030, driven by our disciplined commercial strategies and continued focus on operational excellence. We are on a relentless pursuit to build a more resilient company. Wrapping up on Slide 11, I want to reiterate my excitement about Gentherm's future. We remain confident in our growth trajectory and look forward to welcoming Modine Performance Technologies later this year. We are focused on closing the transaction, ensuring we hit the ground running on day 1. We will update you on our progress throughout the year. As we enter 2026, our team is invigorated and operating with a clear focus on strategic priorities. We are acting with a strong sense of urgency to build on the momentum achieved in our adjacent market initiatives and margin expansion efforts. We are taking decisive actions to position Gentherm for sustainable, profitable growth and long-term value creation. With that, I will turn the call back to the operator to begin the Q&A session.
Operator: [Operator Instructions] Our first question today is coming from Ryan Sigdahl from Craig-Hallum Capital Group.
Ryan Sigdahl: I appreciate all the commentary on kind of the current business this year, but also going out to 2030, it's helpful from a pro forma standpoint. I want to start with the adjacent end markets, knowing that there's a lot of synergy potential with the merger combination. But curious kind of how you view the next couple of quarters, if you guys are continuing to lean in there or if there's a better kind of more opportunistic wait and see on certain end markets once you're combined? And then kind of second to that, if you're able to quantify the percentage of revenue in '26 and '27 for the expectations you gave that are representative of those adjacent markets?
William Presley: Yes. So I'll start. Look, we'll continue to lean into the adjacent markets. I would say Home & Office, which we previously called Motion Furniture, we're not calling Home & Office as we're getting a lot of pull in that market, driven by trends in health and wellness. So we'll continue to lean into that market. And just to put a little color on that, with the pipeline we have, with the engagements we have, we would expect that Home & Office would be contributing somewhere between $50 million and $100 million in revenue by 2028. So very rapid time to revenue and margins are, as we've discussed before, not quite at medical, but above what we have in light vehicle. So accretive there. We will continue to lean into medical. We announced the new product introduction this quarter and submitted the 510(k). We anticipate that, that product will begin contributing revenue this year. But that product is going to be a leading contributor, we believe, to doubling the size of the medical business before 2030. And then we continue to see some traction in the other adjacent markets with our climate and comfort solutions for what we would call other mobility, so really around commercial vehicle. So we're not slowing anything down, Ryan. The attractive part for us with the Modine Performance Technologies mergers is it is a true, what I would say, accelerator for our plans to grow our valve business. Our valve business is very attractive to us. It is above company margins, and we want to scale that. And Modine Performance Technologies gives us a really nice runway to scale valves. John, anything else you would add?
Jonathan Douyard: Just we've historically said, I think that the adjacent markets will bring 1 to 2 points of growth year-over-year. I think Bill's comments are consistent with that. And so we're certainly not taking the focus off that as we look to close the Modine transaction.
Ryan Sigdahl: Helpful. Then on the footprint realignment, last quarter, it was substantially by the end of 2026. Now it's completion in 2027. I guess has there been a shift out from kind of your expectations from a timing standpoint and what you're all doing from an alignment standpoint? And then kind of second point to that, as I look to 2027, you gave revenue but not EBITDA expectations. I get a lot of moving pieces. But are you at least willing to say if margin expansion is expected to accelerate with that revenue growth acceleration as a lot of this alignment and kind of cost efficiencies start to flow through?
Jonathan Douyard: Yes, Ryan, I would say no change to the timing of footprint transitions. And so we remain on track to be done in '26 with benefits coming in '27. So as you look at the $1.7 billion number next year, which is 10% growth at the midpoint. We didn't put out an EBITDA number, but we do expect to see the benefits of the footprint transition flow through as well as the benefits of more favorable mix, both from pneumatics pricing as well as the adjacent market becoming a bigger piece. And so we would expect to see a bit of a step function change in '27 from a margin perspective.
Operator: Next question is coming from [ Matt Garza ] from ROTH Capital.
Unknown Analyst: This is Joseph on for Matt. Just want to hop back on a previous question asked. Flow-through, I guess, for 2026 on the sales outlook is coming in a little bit lower than expected. Just outside of the realignment on your footprint, is there any other incremental investments we're kind of factoring in for this year?
Jonathan Douyard: As we look at 2026, just to walk through it, right, I think the growth from a top line perspective being in the mid-single digit over the automotive industry volumes. I think as you look at it from a productivity and gross margin perspective, we continue to make progress within the plants in terms of driving operational rigor. We continue to make progress in driving material savings to offset pricing. We do have the footprint headwind in the year, which will be relatively consistent with last year, but we did see that start to increase a little bit towards the end of the year and expect that to continue into '26. I'd say the only other dynamic out there would just be from an FX perspective. We do see some headwinds from the peso in particular, just how that's moved in the last couple of months. But other than that, we're not expecting any sort of incremental investments beyond the footprint piece and our continued focus on the adjacent market, which has really just been reallocating internal spend.
Unknown Analyst: Got it. Okay. And then as you guys provided the 2027 guide, given Gentherm's majority of the core revenues coming from automotive, where is the confidence coming from? If you can just highlight any key line items that you want to highlight for the 2027 guide, excuse me?
William Presley: Yes. Look, I would say we continue to have strong launch activity. So we are confident in our core automotive business as we have been. So we continue to see adoption and penetration of both our climate solutions and our pneumatic solutions. So we're confident there. And then we're also starting to see just some traction in the adjacent markets, right? We'll start getting contribution, as we said, from new product launches in medical. We'll start getting contribution more from home and office and the other things we've been working on. So we have very strong visibility, and we're very confident in the 2027 revenue number.
Operator: Our next question is coming from Luke Junk from Baird.
Luke Junk: I wanted to start with maybe backwards looking in terms of China specifically, you cited strength across geographies in the quarter. Just hoping you could double-click on China. Maybe back up and talk about just broadly your China positioning exiting 2025. And then in the near term, just some turbulence from a production standpoint in China, just how you're thinking about it in terms of the setup for Gentherm.
William Presley: Do you want to take the first part?
Jonathan Douyard: Yes. I mean we saw, I'd say, really strong growth from a China perspective and really across Asia in the fourth quarter. I think -- the interesting thing, and I think we talked about this on a prior call, we actually saw strength with the global OEMs in China in the quarter as they increased take rates to expand not just the passenger seat, but the second row as well. And so that changed some of the dynamics there. So we really -- we saw very strong growth above market with both local and global OEMs. And I think we expect that to continue at least through the first half of this year.
William Presley: Yes, I would agree with that. And we did remain focused on rebalancing our mix to represent more domestic OEMs in China. We finished the year with about a 60%. 60% of our awards in China were domestic. So good progress there. But again, we remain focused on winning with the right business. We're not interested in buying top line growth. So we'll stay focused on shifting the mix. As John said, that we saw a big pickup from the global OEMs in China. That was really driven by the China market having a high level of adoption of our products. So that will slow the mix adjustment down a little bit, but doesn't change anything strategically that we're focused on.
Luke Junk: And then just China nearer term, does that contribute at all to your comment that revenue may be a little more back half weighted? Or is that just really launch cadence?
Jonathan Douyard: I would say that's more launch cadence.
Luke Junk: Okay. Second, Bill, just hoping to dig into the ThermAffyx patient safety system a little bit more. Assuming you do get FDA approval in the first half, just how quickly you can start to build out that business? I don't know to what extent you've kind of got potential awards in hand or now you've got a license to hunt. And then looking over the next few years, your comment that this is the -- for the bridge to medical doubling by 2030, should we assume that there's more launches like this that are coming that kind of build to that expectation?
William Presley: Yes. So I would say we've already started the voice of customer and clinical work with the ThermAffyx system. So we're already, what I would say, priming the pipeline loop, which is why we anticipate revenue starting this year. So again, this will be a big driver towards us doubling the medical business by 2030. Adoption curves in medical take a little longer, but we're already out there in front of that is my feeling, and we'll push that. You absolutely can expect more new product introductions. We anticipate another significant announcement sometime early 2027, and it will once again leverage technology that we've been utilizing in the automotive industry for 30 years. So again, it will be another minimal investment, leveraging existing technology. But yes, we'll continue to refresh that product line.
Luke Junk: Yes. And then lastly, you mentioned opportunities within data center for valves. And yes, just want to expand on that. Would that be liquid cooling? Or just what would the application there be?
William Presley: Yes. The application would be liquid cooling. That's an area we have to explore. I would just say in our work with Modine Performance Technologies on the power gen side, that was a market that we gained visibility into. So it's not one we've been traditionally in. It's one that we're early in understanding. But Modine Performance Technologies gives us a lens and an avenue in, but there are true liquid cooling applications that require valve technology in data centers.
Operator: We reached the end of our question-and-answer session. Ladies and gentlemen, that does conclude today's teleconference and webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.